Operator: Greetings, and welcome to CVR Partners First Quarter 2017 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jay Finks, Vice President of Finance. Thank you. Mr. Finks, you may begin.
Jay Finks: Thank you, Doug. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, Chief Executive Officer; and Susan Ball, our Chief Financial Officer. Prior to discussing our 2016 fourth quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts, may be deemed to be forward-looking statements. Without limiting the foregoing the words outlook, believes, anticipates, plans, aspects and similar expressions are intended to identify forward-looking statements. You're cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparably GAAP financial measures, are included in our 2017 first quarter earnings release that was filed with the SEC this morning prior to the open of the market. With that said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Jay, and good morning, everyone, and thanks for joining us on today's first quarter call. The summary of financial highlights for the 2017 first quarter included net sales of $85.3 million, adjusted EBITDA of $20.8 million and a net loss of $10.3 million. During the first quarter, we had strong production performances at both of our facilities with each posting high on-stream rates. At Coffeyville, the gasifier ran at 99%, the ammonia unit operated at 99% and the UAN plant was operated at 97%. While at East Dubuque, the ammonia unit ran just under 100% and the UAN units operated at 98%. For the first quarter, our combined operations produced approximately 219,000 tons of ammonia, a record for our combined companies since the merger. We converted the majority of the produced ammonia into approximately 342,000 tons of UAN, also a record for the combined company. This left approximately 80,000 tons of ammonia available for sale. We sold a combined total of approximately 322,000 tons of UAEN during the first quarter at a product price at gate of $160 per ton. Our 2016 fourth quarter product price a gate was $147 per ton. For ammonia, we sold a combined total of approximately 62,000 ton for the product price at gate of $308 per ton. This is compared to our product pricing gate of $352 per ton for the 2016 fourth quarter. The 2017 first quarter ammonia pricing was lower than the fourth quarter 2016's fourth quarter because the majority of the ammonia demand was in the southern planes. We sold additional cost of demand in the first quarter which allowed growers to catch up from the lower than expected fall ammonia application season in this region. Despite the normal seasonally slower quarter, we still produced approximately $2 million in distributable cash flow. The $0.02 distribution only paid on May 15 completed on holders of record on May 8. I would point out that we disclosed in our 10-Q that we decided that there were more pressing preventative maintenance issues at East Dubuque, so we will be performing a 10-day, 12-day turnaround at East Dubuque in the third quarter of 2017 and we're going to push back the Coffeyville turnaround to 2018. In my closing remarks, I will discuss the industry conditions on how to look for the balance in the spring season. But before that, Susan will discuss our detailed financial results. Susan?
Susan Ball: Thank you, Mark. Good morning, everyone. As a reminder, our acquisition of East Dubuque facility occurred at the beginning of the 2016 second quarter and as a result, year-over-year comparability is significantly impacted across the line items reported in our financials. Looking specifically at the 2017 first quarter, net sales for the period were $85.3 million as compared to $73.1 million in the prior year period. The increase was attributable to other inclusion of East Dubuque in 2017's first quarter results. Excluding East Dubuque, net sales would decrease by $14.6 million. The substantial majority of this decrease at Coffeyville was related for lower year-over-year pricing for UAN and to a lesser extent, ammonia. The increase in cost materials and other for the 2017 first quarter to $21.8 million as compared to $16.3 million in the prior year period was primarily attributable to the inclusion of East Dubuque. Excluding East Dubuque, cost to materials and others would have decreased by $700,000. Direct operating expenses for the 2017 first quarter increased to $35.9 million from $23.7 million in the prior year period. Excluding East Dubuque, direct operating expenses increased by $1.2 million, primarily due to higher electricity pricing of $1.3 million and partially offset by lower maintenance cost. Selling general and administrative expenses for the 2017 first quarter over $6.9 million, as compared to $6.4 million for the first quarter of 2016. The increase was primarily associated with $1.8 million for the inclusion of East Dubuque, which was partially offset by $1.2 million of lower acquisition-related expenses. The increase in 2017 first quarter depreciation expense to $15.4 million from $7 million in the prior year period was primarily due to the inclusion of East Dubuque in 2017. Interest expense and other financing cost were $15.7 million for the first quarter of 2017, as compared to $1.7 million for the same period last year. The increase was due to increased borrowings to complete the East Dubuque acquisition and the higher interest rate. Finally, we recorded a net loss of $10.3 million or $0.09 per common unit in the 2017 first quarter. This is compared to net income with $18 million or $0.25 per common unit for the first quarter of 2016. Nor turning to capital spending. During the 2017 first quarter, we spent $4.1 million on capital projects, including $4 million for maintenance CapEx and our remainder a growth capital projects. The 2017 full year, we expect combined spending for maintenance CapEx at our two facilities to be approximately $15 million. Looking at the balance sheet, as of March 31, we had approximately $82 million of cash and cash equivalents and approximately $647 million of total gross debt. Finally, on our website, you will find a brief presentation of certain selective financial information including the estimated pro forma adjusted EBITDA for the 12 months ended March 31, 2017 of $98.6 million. I would note that pro forma adjusted EBITDA doesn't stand the East Dubuque merger and the 2017 second quarter financing transactions occurred at the beginning of the 12 month period. Pro forma adjusted EBITDA does not report to represent with the partnership's results actually would be. With that, I'll turn the call back to Mark.
Mark Pytosh: Thanks, Susan. Spring planting is starting to move along more quickly now. We expect planted corn acreage in the U.S. to be approximately 90 million acres. While this is down from the 94 million acres plant at last year we still believe it will be a solid year of demand for nitrogen fertilizer. Since the February earnings call, nitrogen markets have been volatile with urea prices moving up and down multiple times. In the U.S., several importers speculated that the spring application would come early and that's a result, purchased urea vessels from foreign producers to position product for early March. You may recall we had an early start in the spring of 2016 and the market was sure to product. In 2017, the coming of the spring application is closer than normal, so the excess supply of urea margins has caused U.S. prices to fall. As we mentioned on the 2016 Q4 call on February, our marketing team sold product for both plants in good prices well through the first quarter. This allowed us to effectively pick our spots going into the spring and helped us avoid chasing the market while urea pricing was volatile. We expect demand to strengthen as we move through our pre-plant application and our customers replenish their supply for the side dress season. We have a decent order book for this time of the year and expect to sell more products in the coming weeks to close out the fertilizer year ending in June. As new U.S. production capacity continues to ramp up, we expect to be in a transition period from significant quantities in the imported tons to the greater supply of domestic production. At this spring period has shown, barge tons of urea can create a lot of volatility if there's too much or too little imported product. During the next fertilizer year, we expect the flow of product to be driven more significantly by domestic production and logistics. We expect this change and availability should begin to reduce the MCs and price volatility in the future. Currently, both of CS expansions at [indiscernible] have been marketing product to customers. OCIs weaver Iowa [ph] facility was not marketing to customers in the first quarter, but it is indicated that it is ramping up production in the coming weeks. We expected to begin marketing production quantities in the next fertilizer year. Getting these plants to full production will help the market as we enter the 2018 season as customers make restrain from purchasing product as they may wait for the production from the new plants. As this production has been delayed, imported urea has filled the gap in the market and at the times provided more than the market needs. With the new domestic trade flow established, we expect to see more reliable customer buying patterns going forward. To use a sports analogy, it appears that we are in the eighth inning of this expansion cycle and as the market grows accustomed to the new domestic production particularly in the second half of the year. With much less new production capacity coming into the market in 2018 and beyond and as Chinese producers continue to maintain lower production levels, we believe the market will be able to balance sooner rather than later. But while we wait demands, our team will remain focused on what we can control including operating our plans with high on-stream rates, furtherly managing our cost, being judicious with our capital and maximizing our marketing and logistics activities. And as we move closer to recover, we expect further consolidation to occur. As such, we will continue to evaluate potential opportunities to grow the business through strategic transactions that are accretive to distributable cash flow, but do not increase our financial risk profile. With that, we're ready to answer questions. Doug?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed with your question.
Adam Samuelson: Yes. Thanks. Good morning, everyone.
Mark Pytosh: Good morning, Adam.
Adam Samuelson: Maybe first, continuing on some of the discussion you've had Mark on spring pricing and market trends, can you talk about how buying activity and the customer patterns progressed through the first quarter and prices were going up through January and maybe till early February? And then we're basically on a straight line downwardly at least on urea through the balance of the quarter end and then to April but UAN was not quite following in lockstep, maybe talk about how your customer activity progressed through the quarter first?
Mark Pytosh: Sure. If you remember form the last call, we said we have taken a fair order bunk in December or January and while urea was pretty volatile in February, March and April, both ammonia and UAN have been pretty stable. So we haven't seen that price movement on either of those two and we were selling product at times during March and April. So we were selling UAN and ammonia during that period. We just didn't feel the price pressure that had dealt and that is because there were so much imported product in January and February that it was kind of working off, but you didn't have the same sort of volume pressure in the UAN and ammonia. So we felt we haven't seen the same price pressure in those two areas. Prices have held pretty decently through March and April and what we've seen from the customer basis, they're probably buying a little closer to when they get grower demand directly and then they fill their book, they're buying less, we're pretty purchasing less and then holding it in their tanks and then doing it. It's more just in time purchasing and we've seen that that goes back to the fall. We've seen that going on for a while. That's because of the anticipation of new production. That doesn't really change anything on the pricing element, it's just that the timing of those purchases has been more -- I call it ratable as opposed to big chunky forward purchases. But it doesn't really change the way we run our business because it has been our production pattern really well.
Adam Samuelson: That's very helpful. And can you talk about maybe some of the farm-level demand in your key market areas? It's been somewhat slower start to actual planting. I know there is field redundant early March, but that definitely slowed it, it got wet. Are you actually seeing people putting UAN for preplant at this point? Or talk about where you're seeing the move into the field right now?
Mark Pytosh: We've seen some movement mostly in the south, southern part in the West in UAN. Up north, it has been a slower and the weather has been a combination of cold and wet so the northern season has been a little slower start there. We're just starting to see some UAN movement up north. Ammonia has had a good run in the Southern planes in the first quarter which picked up what was not done in the fall and then we start to see the ammonia. Their ammonia runs pretty far along now up around East of [indiscernible] but that is a slower start this year than last year because of weather. But the demand has been firm, but it's just the weathers. Ti's been more challenging for the growers. They sort of come in for two or three days and then they pause while they're late for it to dry up again. The weather has played more – it's been more bits and starts this year. But the demand has been solid. It kind of comes and goes, but the demand has been firm, but we expect there will be another way of the demand once the application is done here and getting ready for side dress.
Adam Samuelson: Okay. And then maybe just finally, I know this is probably the first full spring where you own [indiscernible] but obviously you can lay out a plant as marketed in the past but both -- but in Coffeyville and East Dubuque at this point at the end of April. How full is your second quarter order book versus prior years or any contacts there, but kind of thought business with what is left to be done?
Mark Pytosh: We're in good shape with both plants and they are very different because Coffeyville is a rail service plant and East Dubuque is trunk but you gave us a hard time on the last call about selling, but one of the things that we try to do is when we see activity, we generally will sell into that so that we're never really under pressure to have to feel like we have to sell product because we're building inventory and I feel really good about how our position for the rest between now and at the end of the planting year. So I feel good between now and -- we have some more to sell, but there will be some demand that will come in to take those tons. We're very well-positioned at both plants where we manage it very closely and we're looking for those pockets. We don't want to be too long or too short. So sometimes you give away a little bit of price to do that, but we've been very comfortable to this season and I felt like others haven't been as comfortable as we have been at times.
Adam Samuelson: All right, great. It's very helpful. I'll pass it on.
Operator: Our next question comes from the line of Charles Neivert with Cowen. Please proceed with your question.
Charles Neivert: Good morning, guys. Quick question, on the CapEx that you're doing both in East Dubuque and Coffeyville, is there any expectation what's going to come out of it so to speak? Are we going to see greater efficiency in the plans that are up time, a little bit of gaining capacity? What -- or is it just pure maintenance, got to replace a few things just to keep them from breaking down? How would you categorize or think about the CapEx you're going to be doing?
Mark Pytosh: Yes, Charles. I put it in my latter bucket. We've had two great quarters here and our capital spend will be targeted at maintaining these kind of on-stream factors. We don't have any planned capacity expansion projects at either plant, but if we could maintain these run rates at the two facilities, we'd be thrilled. So our capital is focused on preventative maintenance to maintain high on-stream.
Charles Neivert: And you said it's a 10 to 12-day turnaround? Is what you're looking at East Dubuque? How about the one, I know Coffeyville is 18 but how long is that one anticipated for? Are they going to deal with the gas or fire as well?
Mark Pytosh: Yes. We'll do the whole plant there. It will probably be about 15 days in that area. That would tend to be a little bit longer because you got more plant to do there a little more complexity. So that will be about 15 days. And that plant has been running really well, so we're not concerned that we're going to miss out on the preventative maintenance opportunity. That plant has had a great run and we feel comfortable moving that back.
Charles Neivert: Are you looking at 3Q as well? I mean looking for the lightest production quarter to work into, probably the lowest pricing quarter to work into? Or we haven't set timing on that yet?
Mark Pytosh: We haven't set timing on the 18 one, but the third quarter is a good time for East Dubuque because that's a long period seasonally, so that's -- so we're good on '17, then we have to decide how we're going to thread the needle. The difference between Coffeyville is, given that it's a rail-based facility, even if we're down in season, we could hold on to inventory and we'd be in good shape there. The East Dubuque plant is much more sensitive because of the truck business.
Charles Neivert: Got it. All right, thanks very much.
Operator: Our next question comes from the line of Rich Thompson with Vardy [ph] Partners. Please proceed with your question.
Unidentified Analyst: Hey, guys. I was hoping you could talk a little bit about year-over-year pricing relative to some of the market indicators that you report? This looks like year-over-year declines for your business look more severe than the market. What does it imply? I'm just trying to understand what's going on there.
Mark Pytosh: Yes. I'm not sure which market indicators. The lot depends. I looked at the pot ash announcement, but their footprint is very different than ours and nitrogen.
Unidentified Analyst: Yes. Sorry, I was just looking in your news release. The ammonia southern plains of 387 in Q1 '17 versus 375 in Q1 '16. First year ammonia sales and similar for the UAN just looks like the year-over-year changes, a bit more severe. I was just curious.
Mark Pytosh: Yes. Down to southern plane, that's a pretty composite across the number of states and geographies there. It's very hard to compare that exactly to what the Coffeyville facility would be, so it's difficult to say what's in there. I'm not sure how good the data set is quite frankly. And then the Corn Belt, you know, the Corn Belt first quarter is not a particularly active period for AG. That's not a big application period, so I'm not sure it held much data is behind that number. The second quarter pricing will be more reflective [indiscernible] all the activity in AG that occurs in the northern plains. It's not a great answer, but we're pricing as pretty comparable when you look at CF hasn't reported yet, but you can look at their numbers when they come out. We're much more comparable than what they are. And have you looked at LSD who reported on Monday we had pretty similar pricing dynamics with where they are. Our numbers are pretty tight on where the market is these days.
Unidentified Analyst: Got it. And ruling forward into Q2, is that a symbolic part where Q1 came out?
Mark Pytosh: Second quarters can be better than the first quarter.
Unidentified Analyst: Okay, great.
Mark Pytosh: That's our strongest quarter, so you'll see a good number there in the second quarter.
Unidentified Analyst: Great. Thanks a lot.
Operator: There are no further questions in queue. I'd like to hand the call back over to management for closing comments.
Mark Pytosh: Okay. Well, once again, thanks, everyone, for joining our call and we look forward to talking to you when we report our second quarter results in July. Thank you very much.
Operator: Ladies and gentlemen, this does include today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.